Operator: Good day, everyone, and welcome to this Manitowoc Company Q3 2015 Earnings Conference Call. As a reminder, today's call is being recorded. At this time for opening remarks and introductions, I'd like to turn the call over to Mr. Khail. Please go ahead, sir.
Steven C. Khail - Director-Investor Relations & Communications: Good morning, everyone, and thank you for joining Manitowoc's third quarter earnings conference call. Participating in today's call will be Ken Krueger, our Interim Chairman and Chief Executive Officer, Carl Laurino, Senior Vice President and Chief Financial Officer, and Hubertus Mühlhäuser, President and Chief Executive Officer of Manitowoc Foodservice. Ken will open today's call by providing comments related to our quarterly results and business outlook. Hubertus will then provide a more detailed overview of our Foodservice segments performance and outlook, and Carl will discuss our financial results for the third quarter in greater detail. Following our prepared remarks, we will be joined by Larry Weyers, President of Manitowoc Cranes, for our question-and-answer session. For anyone who is not able to listen to today's entire call, an archived version of this call will be available later this morning. Please visit the Investor Relations section of our corporate website at www.manitowoc.com to access the replay. Before Ken begins his commentary, I would like to review our Safe Harbor statement. This call is taking place on October 29, 2015. During the course of today's call, forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 will be made during each speaker's remarks and during our question-and-answer session. Such statements are based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied projections due to one or more of the factors explained in Manitowoc's filings with the Securities and Exchange Commission, which are also available on our website. The Manitowoc Company does not undertake any obligation to publicly update or revise any forward-looking statement whether as a result of new information, future events, or other circumstances. With that, I'll now turn the call over to Ken.
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Thanks, Steve, and good morning, everyone. Right now, you've had a chance to review the press releases we issued last night discussing our third quarter earnings results as well as my appointment to Interim Chairman, President and CEO of Manitowoc. Before I jump into the results for the quarter, I'd like to take a moment to discuss the leadership transition. Let me start by saying Manitowoc is at a unique juncture in its evolution. The company has established two leading businesses in both Cranes and Foodservice, which as previously announced will be split with the execution of a spin-off of the Foodservice business in the first quarter of 2016. We also have a strong management team along with our many talented employees around the world providing a strong foundation for the company. However, the board determined that it is time for new leadership in order to improve the trajectory of the business and to fully maximize our potential going forward. We very much appreciate Glen's efforts and his contributions to Manitowoc over the last 24 years and wish him well in his future endeavors. The board has initiated a search for a CEO for Manitowoc Cranes and will provide an update as soon as possible. Having served as a member of Manitowoc's board of directors since 2004, including four years as Audit Committee Chair, I know the company well and have tremendous confidence in our ability to revitalize the business. We remain committed to innovation, product quality and superior after market support to maintain our leading positions. At the same time, we're implementing aggressive actions in both segments, including rightsizing the business, plant rationalizations and other cost improvement activities while driving growth in Foodservice to improve overall profitability. I'm honored that the board selected me for this important role, and I assure you that I'm committed to delivering improved performance. Now let me shift gears and turn to our third quarter results. Our third quarter results were mixed. In Foodservice, the business appears to be turning the corner. Many of the issues that negatively impacted its performance over the last 12 months have been remedied, which contributed to our solid margin improvement this quarter. Hubertus will provide you with more in-depth comments in a few minutes. Turning to Cranes, our third quarter results were disappointing, as deteriorating demand for tower cranes in the Middle East and Asia coupled with lower than anticipated all-terrain and crawler crane shipments, all contributed to the shortfall in revenues. The current global economic environment affecting customer demand is unlike any cycle we've seen in the recent past. Uncertainty among our customers is mounting due to emerging market peers, ongoing question over Chinese growth outlook, persistent depressed oil prices and slowing domestic growth. More specifically, rough terrain and boom truck demand in North America continued to be hardest hit, given its exposures to oil, gas and the infrastructure projects. However, we experienced other softness across the business, including pricing pressure created from unfavorable exchange rates. In September, we experienced delayed crawler shipments totaling $55 million. At the same time, the devaluation of the won in August caused the slowdown in tower crane sales in Asia. In addition, we experienced broad-based global softness in all-terrain cranes. Whereas we had seen relative strength in tower crane sales in the Middle East over the last few quarters, we're now seeing a spending shift away from energy and the infrastructure to defense, impacting our business in that region. As a result, we have taken aggressive actions to respond to those areas that are within our control. Over the past 12 plus months, we have eliminated $29 million in direct and indirect costs. In addition, we announced last night the implementation of additional restructuring activities to expand upon our efforts to-date. These new efforts aim to eliminate another $35 million to $45 million in costs over the next three years, though actions including plant rationalizations and reduce the deferred expenditures. The majority of these savings will be realized in 2017 and 2018. We firmly believe that these actions will result in stronger, more agile and a more successful company for the long-term benefit of our shareholders. We anticipate a charge of $10 million to $15 million in the fourth quarter, most of which is non-cash. While we're implementing these actions, we continue to analyze additional areas to further streamline our manufacturing processes and rightsize our footprint. The third quarter proved to be one of the most volatile and difficult operating environments in recent memory. Manitowoc has weathered many economic cycles and our team has proven its ability to manage the business without compromising our competitive position in the marketplace. This cycle should be no different. We remain highly confident in the long-term underlying fundamentals of both businesses. Before I turn the call over to Hubertus, I want to briefly update you on our progress toward the planned separation of our Crane and Foodservice business. We have made significant progress towards implementing the spin and we remain on track to complete our business separation in the first quarter of 2016, notwithstanding the recent performance within Cranes. We've also announced the majority of our senior management team for Cranes and Hubertus will provide an update on our Foodservice leadership. Carl will provide detail on the related separation costs in his remarks. With that, let me turn the call over to Hubertus to discuss Foodservice in more detail.
Hubertus M. Mühlhäuser - President & Chief Executive Officer-Manitowoc Foodservice Inc.: Thank you, Ken, and good morning, everyone. It's a true pleasure to participate in my first earnings call as CEO of Manitowoc Foodservice. As Ken mentioned, the momentum that we saw in June continued into the third quarter. The initiatives that had been started months ago, coupled with more recent activities that have a direct margin impact, have led to a 100 basis-point improvement compared to the last quarter. From a sales perspective during the quarter, we saw strength in cold-side in North America on beverage, which was somehow offset by reduced CapEx spending by large chains, particularly in Asia. Our KitchenCare business also demonstrated improvement with fill rates nearing our targeted range and increased efficiency running through the operation. We have realigned the team all of whom are committed to further improving customer satisfaction, profitability and growth. As a result, we saw year-over-year revenue growth and margin improvement in the quarter. While we are pleased with this improvement, we recognized there is more work to be done. As we look ahead, while our strategy remains unchanged, we have a stronger focus on optimizing the business. Our number one priority is margin improvement, as we work towards the spin of the Foodservice business in early 2016. There are really two themes driving our efforts to close the gap from a margin perspective, simplification and rightsizing. From the perspective of simplification, as we have discussed before, we have stepped up our efforts in our 80/20 initiative. This is for Manitowoc really a transformational shift for our business in terms of reducing our product complexity. We have made great strides thus far, and are seeing positive trends that we expect to continue. In conjunction with this initiative, we are undergoing a number of activities aimed at improving our margin, including pricing optimization, taking a very critical look to delay or stop non-value added projects, reinvigorating new product introductions and simplifying the organizational structure to increase speed and decision making. We believe these efforts will be imperative in further enhancing our margin profile as we move forward. In addition to these simplification efforts, we also announced restructuring initiatives in our press release last night aimed at rightsizing the business and addressing our overcapacity. These activities are accelerating the rationalization efforts that have been underway since mid-2014 and include reducing overcapacity by consolidating various production facilities and implementing head count reductions. In line with these objectives, earlier this week, we announced the closure of our Cleveland manufacturing facility and our Irwindale distribution center. These recently announced restructuring is expected to result in $30 million of cost savings in 2016, and $40 million of annual run rate savings starting in 2017. In the aggregate, all of these actions will set the stage for a more streamlined company going forward, providing better quality and customer satisfaction. We do anticipate a charge of $15 million to $20 million in the fourth quarter of 2015 of which approximately $8 million to $10 million is expected to be cash paid out over the next four quarters. While we're implementing these actions, we continue to work on additional areas, where there is opportunity to drive further margin improvement in the business. Our second priority in the Foodservice business is preparing for the spin. We have filled many of our key leadership roles including our Chief Operating Officer, Josef Matosevic, who has already had a very strong impact on last quarter's results. Josef will also lead our rightsizing efforts. In addition, we anticipate announcing our Chief Financial Officer as well as our Senior Vice President of Strategy, HR and Marketing in November. The next levels of leadership have also been defined, identified and we're already working with a full focus on Foodservice. I have a deep level of confidence in the team we have in place today and believe that we are very well positioned to capture the tremendous opportunities that lie before us. So, in summary, after spending the last several months taking a deep look at the business, I'm pleased to say that my initial view of the business and opportunities hasn't changed at all. In fact, my belief that Foodservice is a great business with very, very strong fundamentals and outstanding growth potential has only strengthened. I have spent a significant amount of time with the teams, in all parts of the world, to understand our long-term vision and strategy for the business and to develop an understanding on how to get back to a more profitable growth path. It's very clear to me, that Foodservice has best-in-class brands and products, and that we offer a unique value proposition. In addition, my conversations with customers have been extremely positive. As we move towards separating the business, there is an opportunity for accelerated investment in the business consistent with our enhanced focus. With that, I'll hand it over to Carl.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Thanks, Hubertus, and good morning, everyone. We reported net sales for the third quarter of $863.5 million, which is a decrease of 13% from a year ago. GAAP net income for the third quarter was $4.8 million or $0.03 per diluted share versus net income of $73.1 million or $0.53 per diluted share in the third quarter of 2014. Unfavorable currency exchange rates had a $48.4 million negative top-line impact during the quarter but a slightly positive EPS impact of just under $1 million for the same period. Excluding special items, third quarter 2015 adjusted earnings from continuing operations was $12.8 million or $0.09 per diluted share versus adjusted earnings of $50.1 million or $0.36 per diluted share last year. Since mid-year 2014, we have generated savings totaling approximately $115 million at the enterprise level resulting from manufacturing improvements, procurement savings and reductions in our workforce. That said, many of these savings have been offset by our manufacturing underabsorption various costs associated with the factory consolidation and the KitchenCare launch. By its completion in 2017, we continue to expect to achieve total savings of $125 million to $170 million, which is before the savings associated with the new restructuring activities we announced yesterday, which are expected to generate an additional approximate $135 million to $145 million in total savings by the end of 2018. During the third quarter, cash generated from continuing operations was $6.2 million compared to cash generated from continuing operations of $60 million for the third quarter of 2014. The decline was primarily due to weaker revenue, product mix and resulting lower profitability. As is traditionally the case, we expect to achieve strong cash flow in the fourth quarter. Turning to the results for the two businesses, third quarter Crane sales totaled $438.2 million, down 23% from $569.2 million a year ago. The decline was broad based but was most pronounced from lower demand for all-terrains, rough terrains, and boom trucks, as well as lower tower volumes in Asia and the Middle East. Crane operating earnings in the third quarter were $4.3 million versus $41.6 million last year. This resulted in the third quarter operating margin of 1% compared to 7.3% last year. The margin decline was fueled by significant under-absorption as well as pricing pressure exacerbated by currency headwinds. These factors were only partially offset by ongoing operational efficiencies and cost reductions. Crane backlog at quarter end was $631 million, down from the third quarter 2014 backlog of $716 million, reflecting a book-to-bill ratio of 0.77 times. Third quarter new orders of $337 million decreased from $557 million in the year-ago period. Foodservice sales in the third quarter of 2015 totaled $425.3 million, up 2% from the prior-year period's $417.1 million. Sales were driven by an increase in KitchenCare revenue and strength in North America cold-side products including beverage, which were partially offset by continued weakness in large chain rollouts, particularly in Asia and unfavorable exchange rates. Third quarter 2015 operating earnings in Foodservice were $70.4 million, producing an operating margin in the 16.6% compared to 14.8% for the third quarter of 2014, reflecting a 180 basis point year-over-year improvement and a 100 basis point sequential improvement. The improvement was driven largely by operational efficiencies, cost savings initiatives and a favorable product mix, partially offset by currency and lower absorption rates. We have taken $20 million in manufacturing cost out of the system year-to-date, which is nearly 70% of our full year 2015 goal of $30 million. Again, this is before the impact of the restructuring activities announced today. As we've previously noted in our press release, our full year outlook is as follows: Crane revenue approximately 15% to 20% decline; Crane operating margins low-single digit percentage; Foodservice revenue approximately flat; Foodservice operating margins mid-teen percentage range; capital expenditures approximately $70 million; depreciation and amortization approximately $110 million; interest expense approximately $90 million; amortization of deferred financing fees approximately $4 million; total leverage approximately 4 times debt-to-EBITDA, and the effective tax rate excluding one-time costs caused by the spin-off approximately 30%. We continue to anticipate that our total pre-tax separation expense will total $130 million to $140 million. The majority of these expenses, most notably debt breakage cost and financing fees, will be realized at closing during the first quarter of 2016. In addition, run rate costs associated with separating into publicly traded companies are expected to be in the range of $20 million to $30 million on an annual basis. I will now turn the call back to Ken for some closing remarks. Ken?
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Thanks, Carl. We expect the global macroeconomic backdrop to remain difficult through most of 2016. While we are encouraged by the momentum in our Foodservice business and the resilience of certain portions of our Crane business we remain highly committed to rationalizing our cost structure to fit the near-term demand environment. The restructuring activities we discussed today will undoubtedly make us stronger and more agile, while at the same time allowing us to maintain our leadership positions and set the stage to deliver better results. That concludes our prepared remarks for today. Alan, will you now begin our question-and-answer session?
Operator: Thank you, sir. We will take our first question from Jamie Cook of Credit Suisse.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi, good morning. I guess two questions. One, as I think about just given the split in the deterioration we've seen in the Crane business, Ken or Carl, if you could just help me walk through, when I think about the next 12 months, or when I think about 2016, how much benefit do we get from the restructuring actions you announced previously versus today, and versus the new ones you've announced today, because as I look to 2016 based on the orders, it seems like sales are down again, which would imply EBIT is down again, and I mean next year. So again I'm just trying to understand how to think what could be incremental because, again it just questions why we would do the split where the profitability of Cranes would be negligible? And then, Ken, as a board member I would like to just hear your -- why you're comfortable with splitting Cranes today just given the leverage? I mean the prior management team would say profitability of Cranes would never get below prior trough, we're going to be here this year and could go again below that next year. So, just given the leverage, Crane deterioration, profitability below prior trough, why you're comfortable with splitting the company in the first quarter? Thanks.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Thanks, Jamie. As far as the flow through benefit in calendarization, there is probably going to – as we alluded, there is going to be some additional actions that we'll be looking at. But in terms of the identified actions, the greater part, because of the timing of some of the things that will benefit us in that three year period that we talked about, the total benefit, is going to be skewed to the 2017 and 2018 period in Cranes. I think we are much more granular on the Foodservice side, as you look at those benefits, but that wasn't your question. As far as the comfort level with the split, obviously, we've seen high leverage levels historically. I think that there is a view in the markets that there is not a whole lot of debt that's possible to put on the Crane business, and that's not our view or expectation. We are not quite at the point where we can get real specific about the capital structure, but I would -- I think it's fair to say that a lot of the assumptions that people make about the amount of debt that Cranes can handle is understating the case, and obviously structure plays into the sustainability of the debt load as well.
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Yeah. I think the underlying case for the split which is that the value to our shareholders of two separate companies remains in place. Clearly, the third quarter made the leverage a little more difficult, but I am confident we'll still be in a range where we can separate the two companies and they can both survive and in fact thrive with their capital base. So, maybe a little tougher, but I think we are still in the range that we can be, have successful spin.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): But, I guess Carl, as I just look at it, if we just look at the orders you've seen over the past sort of three quarters in Cranes and then you listen to what H&E Equipment said this morning about don't expect the normal seasonal pickup in Cranes in the fourth quarter. It would imply, your Crane sales are going to be down again next year, could be down another 10%, 15%. So, based on – I guess based on what you're saying because we don't expect a lot of the restructuring benefit until 2017 or 2018, we assume and the way to think about it is the normalized decremental on that sales decline and again under that environment you're comfortable with splitting Cranes or are you assuming a more – or am I being too negative with regards – or do we have a difference in terms of how we're thinking about 2016?
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Yeah. I think there's certainly a difference especially if you take Q3 as the context, because some of things that we put in place are really going to get to some of the things that we suffered to some extent. Even on a full year-to-date basis, that will be less impactful in 2016. And really I'm alluding to the factory variances that we see in the absorption issues given some of the adjustments that will be make (24:32). So, the...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): But on a top-line basis given what you're seeing in orders, I don't understand how Cranes are down again another – you know what I mean, 15% or so. Or I'm just trying to think about how you're thinking about the Crane outlook for 2016, given the fact that you want to split the company in the first quarter?
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Yeah. And the other thing that I was going to say that also that excuse things a little bit is the deliveries of the VPC that also affected us in the third quarter that were pushed off to the right. And some of those shipments will go into 2016. I don't know if Larry you wanted to elaborate on anything.
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: No, Carl. Hi, Jamie. Yeah, I think obviously the third quarter was disappointing. But I think one of the big parts as far as the shipments go is the delayed in the shipments of the 300 and the 650. And clearly, had those been on where we wanted them to be, it would be a much different picture. So, I know we're not giving a lot of outlook for 2016 right now. So, I don't want to elaborate on that. But, I think there is a number of new products we're bringing into the market as well, that when we do that we experience an uptick in certain specific products. But – so, I think that's the big note for the third quarter.
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: I also would just want to talk a little bit about the other side of the equation, and Carl alluded to it a little bit. I think our restructuring plan in activities in the Foodservice side are well seasoned, they're granular, they're detailed, and there is very good timing to them. I think we have a little bit of work to do in the near-term here to make the restructuring activities a little more granular, a little more detailed and most importantly, a little more near-term impactful, I'll call it in 2016, so that's one of the first priorities that I have and we collectively have. And I think we'll also be able to make some headwind or make some headway rather on the cost structure earlier than the 2017 and 2018 that we've talked about in the prepared remarks.
Operator: And next we'll go to Stephen Volkmann with Jefferies.
Stephen Edward Volkmann - Jefferies LLC: Hi. Good morning. I'm just going to follow on Jamie's question and ask you just sort of the opposite way. Why not wait and do the spin after you have demonstrated a little bit more of your cost saves and maybe when the market has kind of shown some signs of bottoming and people can make more intelligent decisions about what they think the Crane piece is going to be worth. Is there any cost to you to push this thing out six months or something? I guess I'm just curious why you'd want to do it into the storm here?
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: The spin prices itself as you can imagine is quite an undertaking and the guys have made great progress in a lot of fronts. The tax and the legal work is done and largely in place and the entity restructuring makes it possible to do it. The underlying systems and processes – guys just recently, we're able to prepare financial statements for both of the individual businesses separately, which is a bigger deal, I guess than it sounds like. And we're also able to segment the underlying infrastructure systems. And lastly, the people have been aligned and put into the positions to serve in these businesses. So while the question can be put on timing, I think right now we are staged to do it. I think it's the right thing to do for the company and we're able to do it. Could things change over time? I don't think so, I hope not. But I think, right now, given the momentum we have, given the underlying efforts that are in place and given the projected success of the spin, I think we're sort of on the path to complete it as we had targeted and as we had announced previously.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Yeah.
Stephen Edward Volkmann - Jefferies LLC: Okay. Great. I'll leave that one then. And maybe for Carl then. I'm curious, I'm having a little bit of trouble kind of getting to your full year interest expense. I guess you're assuming a fair amount of debt paydown in the fourth quarter. But even I think you said something about four times leverage and I was skimming through some of your covenants, I thought they're actually a little lower than that. So I guess, I'm curious about, one, your degree of confidence and kind of meeting that cash goal in the fourth quarter? And two, where we stand relative to covenants?
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Absolutely no issue with covenants as it relates to the interest expense question. One of the expectations as you probably are aware, we get through the non-call period on one of the bonds in actually next month and there is an expectation that as we devote some of the debt pay down to that instrument that there's a benefit that hits the interest expense line, not just from the debt reduction, but also from just the accounting of where you carry the expense. That would benefit as we do the pay downs. So, that's the reconciliation.
Operator: And next we'll go to Mig Dobre with Baird.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Yeah, thanks. Good morning. Can you maybe remind us of really all the one-time cash and I'm talking cash cost that you will be incurring in the fourth quarter, whether they'd be related to restructuring or separation or whatever else?
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Well, I think kind of the run rate that we've been seeing from a separation cost, we've got a line item on the balance sheet in the third quarter, it was about $10 million, most of that cash, and there wouldn't be a lot more of that that we would expect to see.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Okay.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: As I mentioned in the prepared remarks, a lot of the one-time costs are essentially at closing cost we expect to see in 2016 first quarter.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): I see. And then maybe, I don't know, you can kind of bridge the gap for me in terms of how you're thinking about cash flow specifically in the fourth quarter because obviously year-to-date we've seen quite a bit of cash consumption, which I know is seasonally normal, but obviously the business is also behaving quite differently than normal. How should we think about cash generation in the fourth quarter?
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Right. As I mentioned, the normal seasonal pattern is extremely consistent, very strong cash generation in the fourth quarter, and we would expect that to continue. One of the things that did constrain the results in the third quarter specifically was some of the shipment issues that we had in our Crane business that will normalize this quarter.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Can you be more specific?
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Sure. But Larry can maybe expand on it, but the VPC, deferral of some of those shipments on the delivery dates that we had there was the key item there.
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Yeah, that's correct. We had a large number of cranes we anticipated shipping in Q3, and those cranes are rolling into Q4 based on the fact that we found one reliability issue on the MLC300 that we were not happy with. And we've cleared that issue. Along with some hurdle rates experienced from our SAP implementation on material flow, we also have those headed in the right direction. So we expect this to ramp up in the fourth quarter.
Mig Dobre - Robert W. Baird & Co., Inc. (Broker): Thank you.
Operator: Next we'll go to Ann Duignan with JPMorgan.
Ann P. Duignan - JPMorgan Securities LLC: Wow, this earnings season, my name seems to be getting more creative every time. Morning. Good to hear your voice, Ken.
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Good morning, Ann.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Good morning.
Ann P. Duignan - JPMorgan Securities LLC: How are you? Just on the VPC delivery deferrals, those -- I think you just answered the question --those were the result of internal issues, not customers requesting deferrals?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Yes, Ann; that's correct. The two issues were internal for us, and so the backlog remains intact and our team is focused 100% on delivering to those customer orders.
Ann P. Duignan - JPMorgan Securities LLC: And are you seeing any cancellations on the claim side in terms of orders?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: No, we have not seen any substantial movement in the order rate from a backlog standpoint.
Ann P. Duignan - JPMorgan Securities LLC: Okay. And just to beat a dead horse on the spin of Foodservice and Cranes, are you exploring any other options for Cranes other than being a standalone business? Is that business potentially on the blocks for a strategic buyer?
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Ann, I think on the blocks for strategic buyers are strong words. Obviously, the board remains positioned and is always open to listening to anything that might add value to the shareholders. But at this time, our intention is to proceed with the spin in February of 2016.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I appreciate it. I'll get back in line. Thanks.
Operator: Next we'll go to Joe O'Dea with Vertical Research Partners.
Joe J. O'Dea - Vertical Research Partners LLC: Hi. Good morning. Just in terms of where you are right now in conversations with rating agencies, could you give us any update there? And then how you anticipate communicating the planned leverage, whether that's going to be through filings or whether you plan a separate announcement and how we should think about timing?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: As far as the rating agencies, we expect to be in front of them within a couple weeks. So, obviously, there's been some changes in the business and that we were incorporating all of that as we prepare to do that. And so that's the schedule there. And your second question, I'm sorry?
Joe J. O'Dea - Vertical Research Partners LLC: Just when we should think about some more visibility into the planned leverage split between the segment...
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Got you. Sorry.
Joe J. O'Dea - Vertical Research Partners LLC: ...and so whether we see that in filings?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Yeah. So that's obviously a gating issue for us. We want to make sure – I think we mentioned in an earlier conference call that we're going to take a scenario-based approach, and want to make sure we don't get in front of that with some of our communication to get that clarity prior to giving any granular split of what the cap structures are specifically going to look like. So that's the sequence. And obviously, within a reasonable timeframe after meeting with the agencies, we'll be able to provide that.
Joe J. O'Dea - Vertical Research Partners LLC: Okay. And then on the various cost savings initiatives, could you just give a high level view across the company considering the 80/20s on the operating improvements to now (36:29) restructuring? Just at a high level what the kind of annual run rate savings are anticipated to be in kind of 2017-2018 timeframe?
Hubertus M. Mühlhäuser - President & Chief Executive Officer-Manitowoc Foodservice Inc.: I think for Foodservice, we said that 2016 impact is going to be $30 million roundabout, and the run rate then as of 2017 is going to be $40 million. And actually in Foodservice, as Ken had stated, we are in implementation. I mean, we started the facility move in Cleveland; this was announced on Monday. We have also started to address head-count reduction, so we are in implementation.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: The other thing that I would mention about those numbers is that they are specifically toward the project that we talked about, the Cleveland project, and some other restructuring activities exclusively. The 80/20 simplification process, we mentioned in an earlier call, we indicated over the next three years would add about 150 basis points to the margin.
Hubertus M. Mühlhäuser - President & Chief Executive Officer-Manitowoc Foodservice Inc.: Yeah.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: So that would be additive to that $30 million to $40 million on essentially the restructuring activities that Hubertus just articulated.
Hubertus M. Mühlhäuser - President & Chief Executive Officer-Manitowoc Foodservice Inc.: And what we have done on the 80/20 is we have pulled forward. A lot of the actions that were initially planned for 2016, we pulled into 2015. So we're going to see already this year some benefits from that.
Operator: Okay. And next we'll go to Nicole DeBlase with Morgan Stanley.
Nicole DeBlase - Morgan Stanley & Co. LLC: Yeah, thanks. Good morning, guys.
Hubertus M. Mühlhäuser - President & Chief Executive Officer-Manitowoc Foodservice Inc.: Good morning.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Good morning.
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Good morning.
Nicole DeBlase - Morgan Stanley & Co. LLC: Hi. So my first question is around the leverage again post split, I know you guys can't say a whole lot. But, I guess, my question is, if you're still committed to both post spin entities being investment-grade credits rated?
Carl J. Laurino - Chief Financial Officer & Senior Vice President: No, no, that's not a core objective. Obviously, over the long term that that could be a sensible target for us to look towards. But I think what we've been saying pretty consistently is that we would seek to have the ratings to be as close as possible to the existing enterprise rating for Manitowoc and try to adopt a structure for both businesses that would enable us to do that.
Nicole DeBlase - Morgan Stanley & Co. LLC: Okay. Okay. Got it. Understood.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: And I would also clarify that we're not investment-grade today.
Nicole DeBlase - Morgan Stanley & Co. LLC: Yeah.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Nor we actually have or been.
Nicole DeBlase - Morgan Stanley & Co. LLC: Okay. Fair enough. And then on the Crane business, this question has been asked in a few ways, but how much was the business impacted by VPC execution issues during the third quarter? And, I guess, what I'm trying to get to is, if we assume that you guys have another step down in volumes, can you still grow EBIT margins year-on-year or do you expect EBIT margin deterioration in Crane? Like what's the run rate EBIT margin potential of the business at the current and maybe lower levels of volume?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Yeah. I'll take the first part of that, I'll let Carl take the second part. But the first part, the impact was approximately $55 million to $60 million in the third quarter due to the delayed shipment of the two cranes. So I think some of that miss will push into 2016, but the majority of that we will focus on shipping to meet those customers' orders in the fourth quarter.
Nicole DeBlase - Morgan Stanley & Co. LLC: Okay. But what was the impact on profitability rather than revenue? Could we just kind of drop that through at like a 25% incremental or something to get to the profitability impact?
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Rough numbers, that – ballpark, correct.
Nicole DeBlase - Morgan Stanley & Co. LLC: Okay.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: The other thing, obviously we're not in a position at this point to provide specific guidance for 2016, but one of the things that I think is important is, what I mentioned before that some of the factory variance issues that we've been struggling with this year will turn around in 2016 and that will enable us even under an expectation that we do see continued decline in the top line that we will be able to generate better EBIT in our Crane business.
Nicole DeBlase - Morgan Stanley & Co. LLC: Okay, thanks. I'll pass it on.
Operator: And now, we'll go to Steven Fisher with UBS.
Steven Michael Fisher - UBS Securities LLC: Hey, thanks. Good morning. How should we think about the rightsizing and plant rationalizing you've planned for the Crane business? Is this a permanent capacity reduction because you mentioned those things in addition to the head count reductions or, are you just somehow making the business more flexible while keeping the same capacity?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: It's a great question, and you're correct. The rightsizing of the footprint will be what I would consider permanent, because what we're finding with a lot of the Lean activities that we have put in place, we're utilizing the floor space that we have more efficiently. And I think our focus on improving our agility – the two go hand in hand. So this is strategic as well as how we set the footprint for Cranes going forward from a manufacturing standpoint.
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Just to supplement what Larry said, as he said, the majority of this is permanent reduction in the capacity. But I think we will also use this opportunity to introduce the concept of mothballing some of our facilities in order to preserve our opportunities on the upside. We need to look at the cost of that. But I think the perception is, is that we can at a relatively low cost sort of park some facilities and park some capacity for the future.
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Right.
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: The majority of it will be permanent reduction, but some of it will be set aside and mothballed.
Steven Michael Fisher - UBS Securities LLC: Well, when you say a permanent reduction, I mean is this sort of an acknowledgement that just the crane market overall and/or your market share is not going to back to what it was in the past?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: No, I don't think that's it at all. I think it's more of looking at how we've been utilizing the space we have in our plans to begin with. We've gone through a transition of Lean implementation over the last four years. And as we do that, one of the things you get from Lean is you free up floor space. So I think this is the point now where we can take a solid look at what do you with that excess floor space. You can either in-source stuff into it or you can take and look at how you rightsize your facilities. So our approach would be the latter.
Steven Michael Fisher - UBS Securities LLC: Okay. That's helpful. And with highway bill discussions underway, have you guys thought about what a flattish three-year bill would mean to your crane sales? Would it help materially? What kind of cranes would you see the most benefit in, if you would at all, and are customers already talking to you about a potential pick-up in orders at all?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Well, I think the highway bill would be great because it would definitely affect our RT sales and small crawler sales. I don't think customers right now are looking much out the window at all. I think when it becomes a reality, I think that's when it'll start, but that would definitely be an uptick for the sales of those two specific product lines.
Steven Michael Fisher - UBS Securities LLC: Okay. Thank you.
Operator: Next, we'll go to Charley Brady with SunTrust Robinson Humphrey.
Charles D. Brady - SunTrust Robinson Humphrey: Hey, thanks. Good morning. Just on the Foodservice side, I wondered if you can give us a little more comfort on you closing the plant in Cleveland. Obviously some of the restructuring activities and the plant moves in the relatively recent past, there's been some good disruption there. It's been a pretty big negative on margins. I guess what did you kind of learn from that and what's going on differently now with this large plant move? And give us some comfort maybe that we're not going to have a hiccup that's going to hit the margins on Foodservice again?
Hubertus M. Mühlhäuser - President & Chief Executive Officer-Manitowoc Foodservice Inc.: Yeah, I'm happy to answer that. Obviously we have done some learnings over the past, and I think a lot of the execution issues that we had was down to bad planning. And I think this move is very, very carefully planned out with people that really have shown in the business that they can do these plant moves. And secondly, we will only shut down once we know that the receiving facilities can produce, so we're going to have a time of parallel manufacturing. The intention is also to bring the customers to the receiving sites to see the quality that comes out there. And thirdly, I think the receiving sites have a history of producing similar products. So it's not that they're going to get something that it says brand new to them. So, therefore, we feel very, very comfortable. And in reality, we have also had a couple of successful moves, but you haven't heard of them, and we've taken those good examples and we're going to apply them here. But we are very, very comfortable that we can do this very, very smoothly.
Charles D. Brady - SunTrust Robinson Humphrey: Thanks. And I guess just switching over on the Crane side again. Carl, we've got three consecutive quarters of Crane declines. The outlook looks pretty bleak from anyone ordering cranes. You have to go back to 2009 to see a margin level even adjusting for the VPC push-out, you have to go back to 2009 to get a margin level this low and a Crane order this low. And as we go into Q4 here, are you hearing any signs that you think as we get into 2016 that we're going to have any kind of lift in 2016 at all and that this Crane business isn't going to have at least one quarter where they lose money? Thanks.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Yeah. Charley, I would say that there certainly is not any pie-in-the-sky expectations about a turnaround at this point in time in the Crane business. We're expecting 2016 to be a challenging year, given the trends that are out there in a lot of the – the overall environment that we've talked a lot about during the call. And we're adjusting to that and do not – as I mentioned before, we'll get into some more specific guidance at a later date, but we expect to be able to perform better from a margin standpoint even with the top line decline?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Yeah, Charley, one other thing I would say is I think the biggest impact to that margin so far has been the plant absorption issues. So we have a clear plan of how to address the loss through that absorption loss, which will have an impact.
Charles D. Brady - SunTrust Robinson Humphrey: But you're not going to see that impact really in 2016, right? From what I understood, it's (47:34) 2017, 2018 is when you see the restructuring on Crane. So the impact to 2016, is there any benefit at all to that?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Yeah, because the things we're talking about here are additional steps. We've already taken a number of steps this year with what we've done in specific plants that are going to affect the variance for next year clearly.
Operator: Moving on, we'll next go to Robert Wertheimer with Barclays.
Robert Wertheimer - Barclays Capital, Inc.: Thanks, good morning.
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Good morning.
Robert Wertheimer - Barclays Capital, Inc.: My first question for Hubertus. Do you see structural opportunity if you had a chance to look at your customer concentration, your customer base, where you have share, where you don't have share? Maybe there's a chance to really sort of broaden out and pick up share. I wonder if you think that's accurate and the timeline which you might think that's attackable if so?
Hubertus M. Mühlhäuser - President & Chief Executive Officer-Manitowoc Foodservice Inc.: Well, definitely. And I think we have a very, very strong position with the large chains. We're very happy on that and we know that we have room for improvement and growth in the larger markets, and that's what we're addressing. We have an active dialogue with all the buying groups. We like what they're doing, and we have already a share with them and we would expect and hope that we can grow that with the general markets. We are also very comfortable with our reps. So I think what you're going to see is that we continue to grow with our large customers. And as you know, some of these large customers are actually in a turnaround situation, successful turnarounds as well, talking about McDonald's, I think you've seen the last quarter results. I think they are turning definitely the corner. This is going to benefit us. And on the back of that, we would like to grow with them and also in the general market through our distribution. That's the plan, that's the plan for the U.S., but also in Europe and in Asia.
Robert Wertheimer - Barclays Capital, Inc.: Would you say you're focusing more of your time on cost opportunities than trying to reignite something in the revenue side or is that unfair?
Hubertus M. Mühlhäuser - President & Chief Executive Officer-Manitowoc Foodservice Inc.: No, I would say we have a very good balance. Obviously, prior to the spin, we do everything to close the margin gap to our competitors as much as we can. But we are actively working, of course, also on the time after the spin. And in fact, I just came from a four-day show in Milan, the HOST show, it's the biggest foodservice show. And the feedback that we got from the customers of our newly introduced product was fantastic. And I've never seen that, but we kind of turned $2 million of sales every day, which is very unusual for these shows. And specifically our new product introduction this year is the Convotherm ovens, which is – will be the best product on the market if you compare it by the functions. Our new Merrychef e2s and also the Quick Filter fries from Frymaster, they are really hostellers that we introduced this year and we're going to see the benefits of that. And then for next year we have 25 new product introductions planned. So I think we're doing a lot in order to make sure that once we're an independent company that we cannot only show profitability but also growth.
Robert Wertheimer - Barclays Capital, Inc.: That was great, thank you. Carl, if I can just ask one quick process question, I don't if it's answerable or not. But at what point would you have locked in commitments on financing rate and commitment? Does that just add close or is there some point before them where you've got the financing all dialed in?
Carl J. Laurino - Chief Financial Officer & Senior Vice President: It's not really answerable. What we would seek to do is to make sure that we've got the largest window. As you know, some of these debt capital markets can be lumpy in terms of the receptivity in the markets, and so we would want to have the luxury to make as wide a window as possible, so we could hit the market at a more favorable time. Practically speaking, the expectation, it would be – the ability to do it would be sometime in the December, January timeframe all the way up to the anticipated close, whenever it might be in February.
Operator: Next we go to Ted Grace with Susquehanna.
Ted Grace - Susquehanna Financial Group LLLP: Good morning, gentlemen.
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Good morning, Ted.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Hey, Ted.
Ted Grace - Susquehanna Financial Group LLLP: Ken, I was just wondering if you could touch on – I know you talked about kind of the priorities as Interim CEO, but just kind of what your immediate focus is, whether it's helping with the operation, helping with the leadership changes that are probably similar in importance? But just kind of what your immediate focus is on in the next 30 days, 60 days, 90 days? And then also kind of what your priorities are on looking for a new leadership within Cranes, whether it's industry expertise, turnaround expertise. They may or may not be both achievable, but can you just walk through kind of those two questions to start?
Kenneth W. Krueger - Interim Chairman, President & Chief Executive Officer: Sure. Thanks, Ted. First of all, the near-term priorities are, one is the financial performance, and I mentioned it a little earlier is, we have a detailed granularity timing on the restructuring activities and Foodservice is very good and they're in the execution phase. Cranes has been doing a lot of things throughout the course of the year. Another good hard look at the capacity and at really the levels of the Crane business is needed. We've got a good first pass at it. We do need to get that more granular, more detailed, and understand the timing better and try to make sure that we're bringing as much of the impact up as we can. So, sort of near-term financial performance is obviously front of mind. The other priority is to keep the spin on track. As I mentioned earlier in detail, the guys are doing a great job at it, but we got to – we got to keep that moving and keep that momentum going. And then as you said, the third priority is to work with some other – some of my other board members in the recruiting of a CEO for the Cranes business. I think we will be looking for somebody who has good operational approaching turnaround or turnaround kind of capabilities. Somebody who's been through a situation where there was a need to substantially improve the profitability both from a, primarily from a cost reduction leading into it, but also setting the stage and understanding how to bring growth into the equation. Somebody who is able to evaluate the portfolio of products and geography and determine where do you invest, where do you cut back and what's the path forward for improved profitability and profitable growth. So, those are going to be really the two primary things. I expect it will be somebody quite seasoned and sort of a been-there, done-that kind of guy.
Ted Grace - Susquehanna Financial Group LLLP: Okay. And maybe this is a question for you and Larry, but when you think about Cranes specifically, and I'm not asking to throw anybody under the bus. But you look at the leadership changes that you guys have already put in place, and you look at the company's performance versus even kind of the public peers and some of the privates where you can get visibility. When you look at kind of the challenges the business has faced, how much do you think was self-inflicted versus market dynamics? And market dynamics could be – obviously, the market is very difficult. You could have FX challenges and competition. But when you think about maybe the 80/20 rule, 50-50 splits, I mean, how much of the underperformance in Cranes do you think was more kind of execution versus just a really tough environment?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Well, I think the environment we're facing is not unsimilar than a lot of the environment that Cat and JCB and a lot of the other industrials are in the market. I think specifically for Cranes because of the level of impact from the oil price has driven the market to a level that we have not seen and probably reiterated by H&E that we have not seen a cycle like this as long as I've been with the company. So, it's clearly a very, very tough market right now for the Crane side of the business. I think the organization we put in place for March last year -- we have the roadmap in place to execute. It's a question of we're trying to do things in a market that is so depressed that we're trying to make sure that we have the right products at the right time. So it's a tough market, clearly.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: And Larry gave – and I think your question was internal versus external, I think that's impossible to allay (56:13) any percentages to. Larry did a good job at describing the external factors. Obviously, internally there are things we could have done better and will do better. And I think really to me it boils down to timing to be able to react. We need to be a little more agile, flexible and be able to react to these quicker, and that's what we're working on right now is to be able to get to this so that anticipating in that if there is a decline, what's – what are we going to do and get it done. And so I think I would boil it down to timing and being able to get ahead of the curve. It's like trying to catch a falling knife for the last period of time, but we do need to get ahead of the curve.
Operator: Next we'll go to Seth Weber with RBC Capital Markets.
Seth R. Weber - RBC Capital Markets LLC: Hey, thanks. Good morning, guys.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Hey, Seth.
Seth R. Weber - RBC Capital Markets LLC: So – good morning.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Good morning.
Seth R. Weber - RBC Capital Markets LLC: I just wanted to go back to the reliability and testing issues on the VPC. I mean, I guess I was under the impression that you had started shipping them earlier in the year. And so, I'm just trying to – I'm trying to understand: are these issues that were highlighted by a customer that ended up getting put back to you or did you ship any of the VPC of these cranes in the second quarter? I'm just trying to understand how this kind of came about.
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Yeah. Sure, Seth. When you look at the crane, there is two parts of the crane. There is the base crane and then there is the attachment that goes on the back. The reliability issue that we were not satisfied with was found in one of the hoist drums with one of the attachments that goes on the crane. So the crane itself, we have – yeah, we have shipped cranes, they're are working fine. But I think the forward cranes coming have more of the attachments with the orders than just the base crane. So we were not satisfied with the reliability of this component. So we did further testing, and it did delay the shipments. So, we have the issue resolved and we're satisfied with it, but we have been shipping cranes. It was discovered by us during our testing process for those attachments.
Seth R. Weber - RBC Capital Markets LLC: I mean is this the function of the company using a new supplier or is there – I'm just trying to understand how...
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: I'm not going to throw a supplier onto the bus. But I think anytime you have a crane of this size, you have a number of suppliers involved. But I think the key thing is our testing protocol and our reliability testing caught the issue. And clearly our decision was not to push a questionable issue into the marketplace. So, we fixed it, resolved it and ensure our customers are going to get the highest quality product that we promised them.
Seth R. Weber - RBC Capital Markets LLC: Sure, okay. And then on the order number, the 337, is it possible to characterize what areas of strength that you're seeing in that number? I mean I know you got a military order at some point. But can you – what are the areas that are still generating, still a source of order activity for the company at this point?
Lawrence J. Weyers - Senior Vice President; President - Manitowoc Cranes: Well, I would characterize the third quarter and what we saw with the change in the market first. I think one of the markets that has been strong for us has been the Middle East, specifically Saudi Arabia. And I think what we saw there in the month of August and September is the government delayed payments to a lot of the contractors. And so, that caused kind of what I would call a back-up in that market. Similar effect in China when the currency play was in place by the Chinese, we saw a push out of tower cranes from our customers and we are seeing some of that come back now. But I think in general, the tower crane business has been stable with the exception of this push out in Asia for the third quarter. I think the all-terrain crane business had been running fairly good. But I think it's an overall global impact that we're seeing on the overall markets that's got the product lines, the demand being slowing down. So, I think overall, the towers and the ATs and obviously the large crawlers, we still have a lot of excitement and interest in the new VPC technology.
Operator: And at this time, I'd like to turn the call back over to Mr. Carl for any additional or closing remarks.
Carl J. Laurino - Chief Financial Officer & Senior Vice President: Before we conclude today's call, I would like to remind everyone that a replay of our third quarter conference call will be available later this morning. You can access the replay by visiting the Investor Relations section of our corporate website at www.manitowoc.com. Thank you everyone for joining us today and for your continuing interest in the Manitowoc Company. We look forward to speaking with you again during our fourth quarter conference call in January. Have a good day.
Operator: That does conclude today's conference. We thank everyone again for their participation.